Operator: Welcome to Hertz Global Holdings 2008 fourth quarter and year end earnings conference call. (Operator instructions) The company has asked me to remind you that certain statements made on this call contain forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance and by their nature are subject to inherent uncertainties. Actual results may differ materially. Any forward-looking information relayed on this call speaks only as of this date and the company undertakes no obligation to update that information to reflect changed circumstances. Additional information concerning these statements is contained in the company’s press release regarding its fourth quarter and year end results issued yesterday and in the Risk Factors and Forward-looking Statements Section of the company’s 2007 Form 10-K and its Form 10-Q for the three months ended September 30, 2008. Copies of these filings are available from the SEC, the Hertz website or the company’s Investor Relations Department. I would like to remind you that today’s call is being recorded by the company and is also being made available for replay starting today at 12:30 pm ET and running through March 10, 2009. (Operator Instructions) I would now like to turn the call over to our host, Leslie Hunziker. Please go ahead.
Leslie Hunziker: Good morning and welcome to Hertz Global Holdings’ 2008 fourth quarter and year end conference call. For those of you whom I haven’t met yet I serve as the company’s new Investor Relations officer and I look forward to working with all of you. You should all have our press release and associated financial information. We have also provided slides to accompany our conference call which can be accessed on our website at www.Hertz.com\InvestorRelations. In a minute I’ll turn the call over to Mark Frissora, Hertz’s Chairman and CEO. Also speaking today is Elyse Douglas, our Chief Financial Officer. In addition we have Joe Nothwang, Executive Vice President and President of Vehicle Rental and Leasing the Americas and Pacific; Michel Taride, Executive Vice President and President Hertz Europe Limited and Gerald Plescia, Executive Vice President and President of Hertz. They are here today for the Q&A session. Today we will use certain non-GAAP financial measures all of which are reconciled with GAAP numbers on our press release which is posted on our website. We believe that our profitability and performance is better demonstrated using these non-GAAP metrics. Our call today focuses on Hertz Global Holdings, Inc. the publicly traded company. Results for the Hertz Corporation differed only slightly as explained in our press release. Now I will turn the call over to Mark Frissora.
Mark Frissora: Good morning everyone. Thanks for joining us. In the final three months of 2008 both the car and equipment rental markets experienced unprecedented declines due to the precipitous slow down in consumer spending as well as significantly reduced demand for industrial construction equipment. At Hertz, on slide four, we are addressing these challenges head on working quickly and decisively to stay ahead of the accelerated market contraction. We have aggressively lowered our cost structure; right sized our fleets, continue to invest in innovative, differentiated products and are generating strong cash flow to reduce debt. In fact, in the fourth quarter we generated $1.8 billion in total net cash flow which is represented by the change in net debt excluding the effects of currency reducing total debt by $1.9 billion. All of this cash was used to reduce borrowings under both the corporate and fleet facilities and at year end total debt was down $1 billion or 8% from its 2007 level. Total restricted and unrestricted cash and equivalents were $1.3 billion which brought total net debt down 9% year-over-year. For the full year we produced an effective cash flow yield of approximately 19% based on $593 million of total net cash flow for the 12 months ending December 31, 2008. What is even more significant is that this yield is better than the 12% yield we delivered in 2007 even though we are operating in a much tougher environment today. We believe our ability to generate strong cash flow coupled with our premium brand, dedication to customer service and heightened efficiency gives us the wherewithal to prevail through a long cyclical downturn. Let me briefly give you some sense of what we are up against starting at the macro level on slide five and moving down to the competitive landscape. After that we will focus on Hertz and specific initiatives we are undertaking to manage today’s macro issues. The U.S. car rental markets are very closely linked to GDP which fell at an annual rate of about 4% between October and December, the worst quarterly showing since 1982 and the construction and industrial equipment rental markets are tied to commercial lending. The U.S. market represents 54% of our total worldwide car rental revenue and 69% of our total equipment rental revenue. In Europe things haven’t fared much better. European GDP fell nearly 2% in the fourth quarter. According to Euro Stat it was the deepest quarter-over-quarter contraction since the Euro Zone was established in 1999. The European market makes up 27% of our worldwide car rental revenue and 13% of our total equipment rental revenue. On slide six you will see that the rental car industry also is being impacted by declining travel trends. According to the latest airline reports passenger traffic in the U.S. was down 10% in the fourth quarter from a year earlier. U.S. hotel occupancy fell 8% in the fourth quarter. For Hertz worldwide car rental volume measured by transaction declined by 11% in the latest quarter. U.S. commercial accounts were the primary driver of the volume decline with total transactions falling 16% in the latest quarter. However, worldwide transaction days fell only 7% in the quarter and 1% for the full year. In the midst of declining volumes industry pricing has been constrained by aggressive competition for corporate rental accounts. This is on slide seven. While we were able to retain 99% of our business customers in the fourth quarter our commercial pricing has been impacted as a result. On top of this, industry rental fleet over capacity and a soft used car market adds to the difficult pricing environment. In order to stay competitive especially amongst commercial accounts our worldwide car rental revenue per day came down 5% last quarter as a higher proportion of our mix in the fourth quarter was leisure business. For the full year our worldwide car rental revenue per day was down 2%. On the next slide typical seasonal returns of OEM program cars in the fourth quarter helped us to further right size our car rental fleet. Fortunately we sold very few risk cars last quarter when residual values were at their lowest levels. This was because of the significant number of auction sales we executed in the third quarter when pricing was much better. Overall we reduced our global car rental fleet by roughly 9% compared with the fourth quarter last year and transaction days declined only 7% in the quarter. Therefore we did a good job managing the efficiency of our fleet as transaction days and fleet size should be closely aligned in their movements. Lower prices on declining volume and a tighter fleet drove worldwide car rental revenue down 15% or 11% excluding currency effects in the last three months of the year. Moving on to the equipment rental segment on slide nine, industry volumes here also reflect a very difficult economic and business environment as investment in commercial construction and the industrial markets slowed. Demand for HERC moving equipment continued to decline and industrial end markets like aerial, electrical, pumping and safety equipment essentially shut down in the last month of the year. Our worldwide Hertz volume was down about 16% in the fourth quarter and 6% for the year. Worldwide equipment rental pricing declined 2% versus the terrible 2007 fourth quarter and 1% for the full year. We have reduced our worldwide equipment rental fleet by roughly 11% compared with the fourth quarter last year and by 8% sequentially from the 2008 third quarter on a first cost basis. In the fourth quarter we significantly increased our equipment fleet sales at auction in an effort to get ahead of falling demand. Unfortunately the gap expanded and volumes fell even faster in the fourth quarter. Total worldwide equipment rental revenue was down 21% or 17% when you exclude unfavorable currency effects. For the 2008 full year consolidated worldwide equipment rental revenue was down 6% or 7% currency adjusted. You can see the intensity of the slow down in demand is far greater than anyone anticipated going into the fourth quarter as volume, pricing and residual values continued to decline and we took a number of specific actions to strengthen our operations and become more competitive in the face of the protracted global downturn. These actions included more tightly managing our fleet portfolio for increased asset utilization and an emphasis on cash generation and further streamlining our cost structure. In terms of efficiency let’s first talk about the fleet on slide 10. There will be more market risk in the near-term so right sizing our business is a priority. The majority of car sales in the fourth quarter were sold back to the OEM’s as contractually negotiated. These are what we call program cars and the fourth quarter is when the majority of these cars are returned to our suppliers. As a result our worldwide mix of program cars and risk cars, or cars we sell ourselves in the used market, was 28/72 respectively at year end. While this mix is typical for the last quarter in a year, over a 12 month period it is very dynamic, changing regularly as a result of seasonality and depending on the economic softness by our suppliers. With a leaner fleet we continue to manage inventory levels closely to drive asset utilization. However in the fourth quarter worldwide fleet efficiency declined 1% year-over-year for car rental operations. On the equipment side we still have some work to do in terms of de-fleeting. We will continue to downsize capacity as dictated by market conditions. Now let me talk about some of our other productivity initiatives on slide 11. Our lean sigma systems to re-engineer business processes are expanding and I am pleased with the results we are seeing. This is a continuous improvement program so there is certainly more opportunity here. Consolidating locations, reviewing and renegotiating third-party contracts, merging back office operations and introducing self service kiosks at airports are other initiatives we have undertaken to rationalize our cost structure. Despite these efforts we have been forced to cut additional headcount as demand continues to fall. In 2008 we cut our temporary and full time workforce by 7,000 employees or 19% of the total to address the current market conditions. Between November of 2008 and February 2009 4,000 positions were taken out. This latest restructuring program was announced last month and is expected to yield $150-170 million in annual savings. These job cuts were across the board in the car and equipment rental businesses, corporate and support areas and in all geographies with less impact on the customer facing positions. Finally, we have taken a look at our locations to identify which are generating value for us in this new environment and where we may have gaps. As a result of the worldwide analysis we closed a net 8% of our equipment rental facilities in 2008 and opened a net 3% more corporate car rental locations more or less divided equally between on-airport and off-airport sites. At December 31, we had more than 4,400 corporate car rental locations compared with 4,270 last year. Overall the refinement in our footprint allows us to focus our marketing and operational efforts on the most profitable, highest volume locations. We have plans for additional adjustments but expect to be completed with this initiative by the end of the first quarter. Unfortunately the progress we made in many areas during 2008 was outweighed by the severe impact on the overall falling demand, competitive pricing and higher fleet costs as residual baggage declined in the car rental business as well as the more significant downturn in our highly profitable rental segment. During the fourth quarter adjusted pre-tax income declined by $260 million from 2007 on a $359 million reduction in revenue. This represents 26% profit retention which is a significant improvement over the 2008 third quarter. You’ll recall that in the third quarter revenues declined by $28 million and adjusted pre-tax income was down $166 million. Therefore we had negative profit retention during that period. We expect our retention rate to continue to improve throughout 2009. Of course that is contingent upon there being no dramatic changes in the business climate. For 2008, we delivered more than $300 million in incremental cost savings, exceeding our target. This is on slide 12. Again these initiatives only partially offset the impact of the recessionary effect on earnings. Be assured that our employees are working with the highest level of urgency on the things we can control and leveraging the company’s operational agility to succeed in the changing environment. While we are hoping for the best it is only prudent to plan for the worst. The steps we are taking are designed to position us to maintain our competitive edge in the near-term and to build on our growth position in the future. Maintaining a balance between cost savings and growth is essential. Along those lines we have an expanding diversified product and service offering that is helping to mitigate the overall trough in sales in both of our key businesses. For car rental, on slide 13, we recently launched Connect by Hertz, a car sharing service where consumers are able to rent vehicles by the hour from nearby locations. This service provides entry into several new demographic groups for Hertz; urban consumers who have avoided the hassle of owning and parking a car in the city can use Connect by Hertz to run errands or visit friends and relatives in other towns. In just the two months since the program was introduced we have already signed up more than 2,000 members in New York, London and Paris. We are also reaching out to a younger demographic through college car sharing programs. In January we signed agreements with Ohio State University and Pepperdine University to offer our service to students on those campuses where reducing parking and traffic congestion is a priority. And we are beginning to sign corporate accounts like Marriott Hotels to our car sharing programs. Some other relatively new services that are taking hold are those to counter the declining prices in the used car auction market. Alternative sales channels such as Hertz.com, third party internet sites, our new rent to buy program and dealer direct arrangements provide us an [anew] to hold auction fees exceeding wholesale prices by going directly to the consumer. Roughly 39% of our U.S. used car sales in the 2008 fourth quarter came from these alternative channels. As always we are aggressively pursuing new business. We returned a net addition of 46 new car rental accounts during the fourth quarter and added just under 240 net new accounts for the full year 2008 on a global basis. At the end of 2008 Hertz was recognized as a [inaudible] supplier at 89 insurance companies and a preferred supplier at 98 insurance companies. Combined we are now a recognized, core preferred supplier at 185 of the 209 largest auto insurance companies in the U.S. These accounts are supported by our continued growth in domestic off-airport locations. On the equipment side in addition to a substantial number of incremental, smaller accounts, our HERC business captured 38 new accounts at the $500,000 plus annual revenue category during 2008. This new business has the potential to generate about $43 million annually. 16 of these new national accounts were won in the industrial sector where construction and fragmented markets made up the balance. Our national account business has been stable representing 50% of our 2008 North American equipment rental revenue versus 48% in 2007. Geographically we are expanding into the emerging markets. First in China with our equipment rental products which we rolled out last summer. We were really pleased to achieve profitability there so quickly, well ahead of expectations. Later this spring we will open car rental locations in both Shanghai and Beijing capitalizing on the strong Hertz brand for cross-selling opportunities. Promotional programs, multi-month rentals, partnership incentives and prepaid discount rentals are also getting positive traction. In the end, however, customer service is our number one priority and growth driver and I think the feedback speaks for itself. On the next slide for 2008 our net promoters fueled growth. In our North American car rental business our net promoter score where the number of net promoters increased 3% over 2007 despite the workforce and fleet reductions. In Europe we improved our NPS by 26% in a very challenging operating environment. Also last year numerous publications around the world like Conde Nast Traveler, Travel Weekly and Travel and Leisure to name just a few touted our performance with 25 different industry first place awards for service, customer loyalty, environmental progress and brand awareness. Now before I turn the call over to Elyse, I want to take a minute to talk about our financial flexibility. I know that is an important topic right now so let me lay it out for you on slide 15 and then Elyse will follow up with more detail. We run Hertz in a very disciplined and efficient manner. At the end of the quarter we had $594 million in unrestricted cash and $4.2 billion in unused borrowing capacity under our credit facilities which is subject to borrowing based on limitations. Our new ABS facility is of course another source of liquidity. This $825 million fleet facility added in September contributed to our total liquidity at year-end. For 2009 we have about $1 billion in debt maturities due with some facilities already in place to cover those commitments. Generating cash flow is our highest priority. The restructuring program we just announced should generate cash moving forward. Additionally, lower demand levels are reducing cash requirements for fleet acquisitions and as cars are built better and our equipment purchases focus on longer life industrial products the age of our existing fleet won’t impact sales. With that I will turn it over to Elyse to review the financial details of the quarter.
Elyse Douglas: Thanks Mark. Good morning everyone. Let me begin today by discussing our key profitability metrics followed by the operating results and closing with a discussion on our financial strength. On slide 17 in the fourth quarter we recorded total revenue of $1.8 billion, 16% lower year-over-year or 12% lower excluding foreign exchange. This decline was due to lower volumes compounded by pricing pressures across all market segments and geographies as the industry was in the process of reducing excess fleet capacity to meet rapidly falling demand. In the fourth quarter we reported an intangible asset impairment charge of $1.2 billion identified in connection with our annual impairment test and reflecting year-end market conditions. However, the charge is non-cash and will not affect our liquidity position, the ability under our credit facilities or compliance with our financial covenant ratios. On a GAAP basis therefore we had a pre-tax loss of $1.4 billion. Excluding the impairment charge the pre-tax loss was roughly $280 million. The loss included $94 million of restructuring and related expenses as we reduced headcount and closed under performing locations in the fourth quarter and $44 million in non-cash, deferred financing costs. Consolidated corporate EBITDA was $117 million in the fourth quarter compared to $385 million in the 2007 period. For the full year corporate EBITDA fell 29%. Falling volumes, lower rental prices and diminished residual values drove the earnings decline. Despite the challenging quarter our worldwide equipment rental business was still able to maintain a 43% corporate EBITDA margin. Adjusted diluted earnings per share was a loss of $0.22 in the fourth quarter but was positive at $0.42 per share for the full year. On a GAAP basis the fourth quarter loss was $3.76 per share and $3.73 per share for the full year. The impairment charge represented $3.05 per share. While we are disappointed by these results they are clearly a reflecting of the challenging operating environment. Regardless our entire team is focused on taking the necessary actions to preserve profitability which as Mark pointed out includes right-sizing the fleet and adjusting costs to reflect lower demand. Now I would like to turn to slide 18 where I will walk you through some operating metrics for our car rental business. U.S. car rent rate revenue was lower by 14% for the fourth quarter year-over-year. Pricing in the U.S. as measured by revenue per day was down by 5% with on-airport pricing down 6% and off-airport pricing 2% lower. Even though we announced a U.S. price increase in late October it was not sustainable due to the industry’s excess fleet at that time. Domestic volume measured by transaction days was 9% lower in the latest three months as a 14% decline in total transactions was partially offset by a 6% increase in transaction length. As I mentioned, our business mix leaned more towards leisure rentals in the last quarter which typically are held by customers for longer periods of time. International car rental rate revenue declined 21% but excluding the impact of foreign exchange rental rate revenue was down only 7% in the quarter versus the prior year’s comparable period. Revenue per day for international car rental in the fourth quarter was 4% lower due to pricing pressure across all our overseas markets. Within our international business our car rental operations in Europe were similarly impacted by the global recession as rental rate revenue there excluding the impact of foreign exchange was down 11%. Transactions declined 8% and revenue per day dropped 5% due to pricing pressure on contracted rate accounts. The transaction days for on and off-airport combined were down 6% for the quarter as Europe also benefited from longer length transactions. On October 24 we instituted a 10% price increase of all our non-contracted rates across Europe which was generally followed by our competitors. For the last three months of 2008 our average revenue per day on retail leisure segments was positive at 0.4%, up 3% in December and continued to improve into 2009. Our operations in Australia and Brazil, also part of our international group, reported double digit volume growth this fourth quarter versus the 2007 similar period although we see that trend slowing in 2009. Slide 19 highlights worldwide car rental fleet efficiency which is defined as the percentage of days a vehicle is rented compared with the total days available for rental. We did a good job on utilization throughout 2008 but the precipitous decline in demand in the last quarter of the year affected utilization negatively. However, we were still able to deliver a slight increase for the full year. In the U.S. we reduced our fleet by an additional 12,000 vehicles in the fourth quarter 2008 versus the year earlier. Over the same period we sold 52% fewer risk cars in the U.S. as our aggressive third quarter actions reduced our exposure to used car residual values in the fourth quarter. As a percent of the initial cap cost, our average U.S. residual value on this reduced level of sales volume declined 11 percentage points year-over-year while the Manheim index declined 12 points in the fourth quarter compared to the fourth quarter 2007. While last quarter was challenging for the used car market there were signs of improvement after the New Year. The Manheim Index showed nearly 4% increase on wholesale used car prices from December to January. As new car leases expire and consumers aren’t able to renew the lease or afford a new car, purchasing a 1-2 year old well maintained used car is the best economic alternative. At December 31, 2008 the percentage of risk cars in our U.S. fleet increased to 74% from 59% at September 30, 2008. This year-end concentration of risk cars is consistent with our 2007 mix. The average age of our total U.S. car rental fleet at year end was about 10 months compared with nearly 8 months in the 2008 third quarter and 2007 fourth quarter. Now turning to worldwide equipment rental or HERC was we refer to it, starting on slide 20 equipment businesses continue to be impacted by the weak construction demand globally. Revenue was down 21% year-over-year driven by double digit volume reduction and a 2% price decline in the fourth quarter 2008. We continue to diversify our customer base away from construction and into industrial and fragmented markets. In North America, revenue from residential and non-residential construction dropped to 47% of total revenue in the fourth quarter from 51% last year and industrial revenue increased to 23% from 20%, the highest level of industrial exposure in the company’s history. On a favorable note, Canada showed continued demand in both the industrial and specialty equipment businesses. Our equipment rental volumes in Canada for the fourth quarter were up 3% year-over-year as our Hertz Plant Services initiative continued to capitalize on the Canadian oil services industry. Hertz Plant Services is our customized service offering providing on-site and off-site equipment management. Our first equipment operation in Shanghai, China, which opened in July 2008, continued to exceed our expectations. In the fourth quarter we generated a small profit as measured by both pre-tax and corporate EBITDA. Demand continued into the New Year and we expect to broaden our reach by penetrating several more markets in China this year. At December 31, our worldwide equipment fleet age averaged 36 months, a 2 month increase compared with the average fleet age at September 30. We believe we still have one of the youngest equipment fleets relative to our industry peers and feel we can continue to age the fleet further without deterioration in the customer experience due to our fleet mix. In the fourth quarter net Capex for Hertz was a reduction of $76 million representing $126 million cash flow improvement for the quarter. As Mark discussed we have taken aggressive de-fleeting actions during the past quarter. Equipment sales on a first cost basis totaled $197 million generating $199 million less investment in fleet growth over the year-earlier quarter. Continued demand for used equipment is coming from overseas markets like Latin America, South America and parts of Africa. For the full year, used equipment sold on a first cost basis totaled $583 million generating $775 million in less investment in fleet growth over 2007. HERC’s fleet efficiency metric calculated by taking total HERC revenue less equipment sales and other revenue and dividing that by the average fleet acquisition cost was five percentage points below the prior year and our accelerated fleet reductions weren’t able to keep pace with the steep decline in rental demand. I want to point out though that this calculation understates efficiency due to the impact of the decline in pricing on revenues. Now let me review our financial strength on slide 21. As Mark mentioned, based on December 31, 2008 availability we have more than sufficient liquidity in our existing fleet facilities to meet our 2009 debt maturities. We are beginning discussions with banks and other investors to review refinancing options for the next set of maturities coming in the second half of 2010. We feel confident we will be able to refinance all of the debt coming due bearing in mind that the debt levels we refinance may be smaller as we shrink our fleet in line with reduced demand. Now let’s look at levered cash flow which measures cash flow available to reduce net corporate debt. In the fourth quarter we generated leveraged cash flow of $430 million driven primarily by lower fleet investments. Additionally, we generated $1.8 billion in total net cash flow compared to $1.7 billion for the same period a year earlier which demonstrates our ability to generate cash not only from earnings but also from de-fleeting activities in both our business segments. Working capital improved in the quarter due to increased efforts on receivable collections and better payment terms. At year end our working capital was negative 41 days versus negative 35 days for the same period last year. Also on slide 21 are the two financial covenants we are required to meet under our credit facilities each quarter. At December 31, our consolidated leverage ratio was 3.71 times below the maximum allowed of 5.25 times. The interest coverage ratio was 2.94 times above the minimum requirement of two times. Lastly, moving to slide 23 for the full year 2008 our GAAP effective income tax rate was 14.5% and cash income taxes paid totaled $33 million. The low 2008 effective income tax rate primarily is attributable to recording a valuation allowance on certain U.S. deferred tax assets that we believe may not be realized as well as impairment losses for which no tax benefit can be realized. With that I will turn it back to Mark.
Mark Frissora: Thanks Elyse. Consumers around the world cut back sharply on spending at the end of last year driving the economy into the worst back slide in a quarter century. Still many economists predict the current quarter will be the worst of the recession as it drags on to a second year and consumers and businesses retreat further. The global economy is deteriorating more quickly than leading economists predicted only weeks ago. For Hertz, contingent planning is accelerating and ongoing as worst case scenarios play out. Our imperative going forward is to ensure our costs remain closely aligned with demand. We will achieve this through car and equipment sales, consolidating administration processes, further headcount adjustments as necessary and continued efficiency initiatives like Lean and Six Sigma and preserving our financial strength to endure these challenging economic times. We have already identified an incremental $350 million in savings for 2009. This should drive improved profit retention throughout the year as I mentioned previously in our call. Furthermore we increased prices on North American car rentals and airport locations in early 2009. Based upon publicly available information competitors have also increased prices during this time period which we believe is indicative of tighter fleets in the industry compared to the fourth quarter 2008. Our focus is clearly on right-sizing and not simply downsizing the company. We are balancing cost savings with investments back into the business. For example we remain committed to growing in niche segments where we can capture high returns over a year payback period. We have new programs in the pipeline that represent anywhere from $300-400 million of sales rev. After years of growth our market is now looking at double digit declines. We believe the travel industry can manage the downturn but it is in the country’s best interest to stimulate travel as one of the best means to stimulate the economy. We realize that economic conditions will continue to be demanding throughout 2009 and while no car rental company is insulated from today’s challenges the strongest, most strategic competitors will gain a compelling advantage in consolidating the market and capitalizing on new channels of demand. Ultimately those coming through this cycle will be better operators for having been here. Hertz will be the benchmark among them. With that let’s open it up for questions. Operator?
Operator: (Operator Instructions) The first question comes from the line of Chris Agnew - Goldman Sachs.
Chris Agnew - Goldman Sachs: I guess you are in a position now where it is easier to add fleet more slowly than being in a position where you need to delete it quickly. What is your view about net additions to your vehicle fleet through the year? How much flexibility do you have around that in terms of timing? Could you have a scenario where by the third quarter your fleet levels are flat with where they are today?
Mark Frissora: The first part of your question I think you were accurate in stating the fact that we were in a position now where we are right-sized with the fleet to demand levels. We are in a position where we could add fleet if in fact demand picks up. If you are asking me where I think demand is going in the third quarter I have no friggin clue honestly. We are hopeful that current demand levels continue to remain. We have been able to see some improvement frankly from what we saw in our fourth quarter levels towards the end of the fourth quarter. That improvement has been encouraging to us but whether or not that is sustainable going forward in the third quarter we really don’t know. We are aging the fleet. We continue to do that. Plus lower fleet volumes will have 2009 purchases down probably somewhere in the neighborhood of 30%. So that is kind of where we think purchases will be down roughly depending again on demand. We are in a position right now where we feel very comfortable we can get whatever fleet we want whenever we want and as we rotate it it will have a positive effect on depreciation. We expect we will have significantly lower fleet acquisition costs as we rotate that fleet.
Chris Agnew - Goldman Sachs: Am I right in thinking you talked about commercial pricing being more competitive and leisure you are obviously putting through some price increases. Would it be fair to assume that where we are today is sort of net neutral then?
Mark Frissora: I don’t think we can say we are net neutral. I think we can say that on pricing again we tried and led with a price increase with an announcement and continue to try and pull the market as the price premium leader up but again this is a very volatile market. We think there is tight fleeting going on as I mentioned to you so that bodes well for the overall industry where historically when we have had tighter fleets pricing has improved. That is about the best visibility I can give you on that.
Chris Agnew - Goldman Sachs: I guess maybe another way of asking is commercial pricing which obviously contracts renew right through the year, does that continue to be as competitive and therefore down in the New Year?
Mark Frissora: Yes it continues to be competitive but as you move forward in the year the year-over-year comp becomes easier, right? Where we saw a lot of pressure on pricing as we do corporate accounts every single month it started really getting tough I would say in the third quarter and then into the fourth quarter. So the comps become easier towards the back half of the year. The first half of the year we continue to see some pressure in corporate pricing. On the fleet side, I want to just go back to that for one minute because you asked about where we were on fleet and I failed to mention that in terms of what we committed to, we have only committed to about 50% of what we see as the demand for fleet this year. Okay? So we have allowed ourselves a lot of flexibility on the fleet planning side.
Operator: The next question comes from Brian Johnson – Barclays Capital.
Analyst for Brian Johnson – Barclays Capital: I want to come back a little bit on your large debt maturity coming due in 2010 and would you be able to comment on what are the avenues you would be looking at in light of the current state of the ABS market? How much do you think this could cost incrementally compared to the financing you have now?
Mark Frissora: I’ll answer a couple of things and then we’ll let Elyse answer in more detail. For the most part we believe that we are highly confident we will get refinancing in 2010. We are very confident in that. There is really probably six or so avenues for us to do that and I’m going to let Elyse take you through those and what we have been working on and in fact discussing with people as we speak.
Elyse Douglas: There is a number of avenues that we are pursuing here. One is obviously the bank conduit market which we believe that market is open and one strategy would be some term extensions of existing facilities. There is some issuance available in the ABS market as windows open up for higher quality trenches. They may be smaller in size but we will probably take advantage of that market as the year goes on. We are discussing fleet financing with some of the stronger OEM’s as well as leasing structures from traditional types of lease providers. Then as I mentioned earlier we will very likely have to finance somewhat lower than the maturing amounts due to the lower fleet size. As to pricing it is really too soon to say. I’d hate to put a number out there right now given that we really aren’t going to be doing anything until we get much closer to those maturity dates which are really in the middle of 2010.
Analyst for Brian Johnson – Barclays Capital: I guess back to the point that obviously in light of small fleet size you can probably do with less availability, what are your thoughts there right now based on your current plans for the fleet? How much do you think you will have to refinance out of the $6 billion?
Elyse Douglas: We are just going to take that and continually look at that but given we really don’t know how the year is going to unfold if demand starts to pick up it would be a higher number than what I would throw out today so I really don’t want to put a number out there.
Mark Frissora: Again, most of the debt is not due until July and August of 2010 and we all know that if you got that all done right now you’d be crazy, right? The spreads should in fact improve a little bit we would think over the next 12 months. We are committed to talking about doing roughly this year at least probably $1 billion I think so roughly that this year and then doing more of it towards the beginning of next year in 2010. Okay?
Operator: The next question comes from Emily Shanks - Barclays Capital.
Emily Shanks - Barclays Capital: I just had a couple of clarifying questions. On the footnote regarding liquidity the $1.5 billion that is cited does that take into account both the ABL as well as the fleet facilities? That is all in borrowing availability?
Unidentified Speaker : I believe it does but let me just check. Yes it does.
Emily Shanks - Barclays Capital: Then in terms of when we think about maintenance Capex for HERC in 2009 can you give us a little bit of guidance there?
Elyse Douglas: I believe that is also shown on the slide, I believe slide 19; we show the maintenance Capex separately. It is about $80 million. It is on slide 20.
Emily Shanks - Barclays Capital: That is for, I’m sorry I’m looking at it right now, that is for next year?
Elyse Douglas: No that is for the fourth quarter. I’m just showing you for the fourth quarter.
Emily Shanks - Barclays Capital: I was hoping, should we think about the maintenance Capex run similarly for 2009 or how should we think about that for the HERC fleet specifically?
Gerry Plescia : It is fair to look at it similarly to 2008. Yes.
Elyse Douglas: Yes it should be in line.
Operator: The next question comes from Sundar Varadarajan – Deutsche Bank.
Sundar Varadarajan – Deutsche Bank : Another follow-up on the fleet financing maturities for this year. You talked about $1 billion or so this year that you already kind of have liquidity to refinance. Could you kind of walk us through what the main sources are? Do you intend using the availability under your credit facilities outside of the fleet financing availability? How much of that do you expect to replace with actual fleet financing?
Elyse Douglas: Today we have variable funding notes under our existing ABS. We have capacity under those facilities as well as the additional $825 million fleet financing we put in place in September. So the two combined are in excess of $1.5 billion.
Sundar Varadarajan – Deutsche Bank : In terms of the pricing on those how does that compare with your existing facilities that are in place?
Elyse Douglas: The $825 million we did in September was about 125 basis points wider than the facilities that were put in place back in 2005.
Sundar Varadarajan – Deutsche Bank : And the variable funding notes?
Elyse Douglas: Those are the variable funding notes. All-in pricing on those is probably LIBOR plus 35-50.
Operator: The next question comes from James Ellman – Seacliff Capital.
James Ellman – Seacliff Capital : Could you just give us a little detail about the intangible test? I believe Dollar Thrifty wrote off all of its intangibles a quarter back. Why did Hertz write of only 1/3 of its intangibles and when would the next test possibly be?
Elyse Douglas: We look at this throughout the year. In terms of our write off I think it was less than 25% of our total intangible and there is a full model that was done with a third party appraiser. We used Duff & Phelps for the exercise. It is basically done on a DCF basis so looking at the outlook for the business. We will continue to look at that and evaluate it each quarter.
James Ellman – Seacliff Capital : So what would be the real triggers that would lead to further write down of some of the intangibles?
Jatinder Kapur: We normally run an annual test but if there is a triggering event such as the market of our shares dropping or the business climate dropping dramatically we would do another test in Q1 and look at our intangibles again. We will make that judgment as we go through that test at that point.
James Ellman – Seacliff Capital : Could you give us a little detail on what is going on with residual prices when you go to sell both vehicles and equipment? I believe you reduced the depreciation rates at HERC a year back or so. What is happening there with residual prices and could you also give us a comment on what you expect to occur or what is baked into your numbers for when you do start to sell some of those slightly older cars that are risk cars in the secondary markets?
Mark Frissora: I’ll answer on the rental side briefly and then Gerry can talk about the equipment rental side. On the rental car side I think it is pretty well known right now in the industry the residuals have improved in January and February versus where they were in the fourth quarter.
James Ellman – Seacliff Capital : How is that versus the depreciation you have taken and the residuals you have baked into your models?
Elyse Douglas: We evaluate that periodically and we have taken a number of adjustments throughout 2008 to adjust the rental car depreciation rates.
James Ellman – Seacliff Capital : So do you believe that with the current prices achieved in the market that your depreciation is approximately correct?
Elyse Douglas: Yes absolutely.
Gerry Plescia : Within the last quarter we saw about a 6-8% drop in residuals in units sold at auction so we saw that occur really in the middle to the late part of the fourth quarter. We did not take any change in depreciation in 2008 as the rates we took really reflected a good blend of that sales activity.
James Ellman – Seacliff Capital : Could you give us a little bit of outlook on your exposure to either bankruptcy or pre-packaged bankruptcy or some other sort of forced restructuring at the big three automakers?
Elyse Douglas: Sure. Obviously we do have exposure and our goal here is we look at it constantly to minimize that exposure. The magnitude of our exposure really depends on what our outstanding receivables balances are with the OEM’s as well as the composition of our fleet. The losses would be related to the loss of any uncollectible receivables as well as we could potentially have to increase the enhancement levels for the ABS for any value declines in the fleet. Although this amount could be material we believe we have more than enough liquidity to cover that exposure.
James Ellman – Seacliff Capital : Finally could you just comment in the same vane on the situation with Kia?
Elyse Douglas: Kia has paid us and we are current.
James Ellman – Seacliff Capital : So the lawsuit has been settled?
Elyse Douglas : It is resolved.
Operator: The next question comes from Christina Wu - Soleil Securities.
Christina Wu - Soleil Securities: You had earlier commented with regard to Chris’ question that you expect fleet to be down 30%. I just wanted to clarify is that car rental fleet or combined car and HERC fleet?
Mark Frissora: That was for rental car that we were talking about.
Elyse Douglas: What we said is that we purchase cars on a model year basis and our purchases this year will be down 30%, not the fleet.
Christina Wu - Soleil Securities: HERC specific, with Obama’s stimulus plan having passed do you see any potential upside for the HERC business from increased construction whether it be road construction or building construction or school repairs, libraries, etc.?
Mark Frissora: We think there will be some positive impact although the timing could be most likely later in 2009 as some of these monies are lent, contracts are bid and all of the work takes place to get those monies to specific projects. Yes, in all the areas you mentioned we think there could be some positive impact. We think that will be later in the year.
Unidentified Speaker: Having said that, one of the things that we were concerned about we saw happen or are seeing happen a little bit is that while the stimulus package while it is good longer term in the short-term a lot of people that had projects that were going to spend money on them have stopped spending money because they think they are going to get money from the stimulus package.
Christina Wu - Soleil Securities: With the timing then of the potential spending being later in the year do you expect you will hold onto fleet a bit in case of that increase or you will de-fleet and then buy fleet back when you see demand picking up?
Unidentified Speaker: We will react quarter-by-quarter and the likelihood is if the decline continues we will de-fleet and then we certainly have enough flexibility to bring fleet in as we see the work start to materialize.
Operator: The next question comes from William Truelove – UBS.
William Truelove - UBS: I know you paid off a lot of debt in the fourth quarter but could you tell us what the remaining quarterly maturities are for corporate and fleet for 2009? I didn’t see that slide.
Elyse Douglas: The maturities we have for 2009 are about $1.1 billion. That is primarily fleet financing that is coming due.
William Truelove - UBS: Is it still $771 million in the first quarter and $169 million in the second quarter?
Elyse Douglas: I don’t have those numbers in front of me for the quarter.
William Truelove - UBS: That’s what it was at the end of the third quarter so I was just wondering.
Mark Frissora: We can get back to you separately on that, okay?
Elyse Douglas: We did amortize some of the fleet back in the fourth quarter of 2008 that had a 2009 maturity.
Operator: The next question comes from John Healy - FTN Midwest Securities.
John Healy - FTN Midwest Securities: A question for you on the HERC business. When you look at the declines you saw in the fourth quarter and you look at where the margins were I thought with the decline the margins were I thought with the decline the margins were a little bit better than I thought they would be. Can you talk to if you kind of use that same run rate in 2009 for the HERC business where you think you could hold those EBITDA margins?
Gerry Plescia: I think based on the performance in the fourth quarter we are comfortable we can hold the EBITDA margins in the low 40’s at this run rate in 2009. We have taken significant cost actions ahead of the curve from an operating perspective and the continued balancing of the fleet allows us to produce better margins as we go. We think we can hold in the low 40’s in this environment.
John Healy - FTN Midwest Securities: Kind of a big picture question for you Mark, as I think about your business and think about the things taking place in the industry clearly no one has encountered all of these pressures at the same time in the history of the industry. Do you feel like 2009 will be a different year than 2008 in terms of I don’t want to say the industry kind of changing and moving in a new direction but from a capacity standpoint on the fleet and from a pricing standpoint are you more or less optimistic that as we move through 2009 and we flash forward 12 months and the year end call for 2009 that Hertz will be able to product improved utilization and improved pricing this year compared to 2008?
Mark Frissora: Yes we believe that we can improve both utilization this year and improve pricing this year. That is again our hope. Our plans are not necessarily built around that. We do worst case scenario planning for our cost structure but based on everything we see in the marketplace that will happen. Our hope also is that because fourth quarter and toward the end of the third quarter the precipitous volume decline was so great that we need the comps year-over-year in the third quarter and fourth quarter become much easier and then lastly the one thing that I mentioned, I don’t know if anyone picked up on it, but we are predicting our profit retention rate will improve which means another way of saying that is our profits improve as we go forward in the year. We right size the business and we are almost there now. We have a better chance of making money as the quarters unfold throughout the year.
Operator: The next question comes from [Aaron Cadell – Hovde Capital].
[Aaron Cadell – Hovde Capital]: I was just wondering, you have a fair bit of your fleet debt that is insured by MBIA and AMBAC and with the news last week of MBIA that it is kind of separating into two companies and focusing on public finance as opposed to structured finance what would be your thought on the ability to get wraps of any kind on your fleet debt going forward? Is there any implication in your mind to the state of the guarantee on the existing debt from the shift at least at MBIA?
Elyse Douglas: I guess we are still getting our arms around the changes at MBIA but with respect to a wrap deal we are not looking at any type of wrapped structure right now in the marketplace. That market may open up as the insurers get into a position where they can write the business comfortably like taking the actions MBIA is taking. So I think it is perhaps in the long run a good move. Obviously we do have MBIA and AMBAC on our current facilities and there is a risk just to highlight one other point on the $825 million deal we chose not to have that deal wrapped. So really that is where we believe the market is today for the rental car deals, an unwrapped basis.
[Aaron Cadell – Hovde Capital]: Going back to the earlier question about the Ford/GM exposure, you have given some disclosure in your 10Q about the maximum levels about $200 million each to Ford and GM. Can you give any comment about where that is today?
Elyse Douglas: Obviously I think our peak is when we are actively de-fleeting program cars when we have the largest receivable exposure. So that really does change over time. It is really a factor of the program cars we have in the fleet with each of the manufacturers.
[Aaron Cadell – Hovde Capital]: Would it be 10% less than that maximum? 50% less? Can you give any color on how much that figure varies through the year?
Elyse Douglas: Let me give you…first at the year end it is actually down. So are you referring to the numbers we put out in November?
[Aaron Cadell – Hovde Capital]: Yes.
Elyse Douglas: That is pretty much the peak. Does that help?
[Aaron Cadell – Hovde Capital]: Can you just give some thought on your, and I know there has been some sort of discussion about it with your recently announced price increase and competitive forces, but what is your general outlook for rental rate revenue per transaction day for 2009? Just giving maybe the mix shift of people renting smaller cars versus bigger cars, but offset by the pricing increases you hope stick?
Joe Nothwang: You really have to look at it by segment. I think we are optimistic with the competitive fleet tightening, right sized that there will be opportunity for positive year-over-year improvement on the leisure non-contracted side. On the commercial side because of the year-over-year changes that occurred in the second half of last year that is a little bit more challenging environment. Overall particularly on the leisure side I think optimistic we can get some positive traction on the revenue per day in that segment. If you go back to 2002 following the downturn after 9/11 that is exactly what happened as the industry fleets were right sized.
Operator: The next question comes from Michael Millman - Soleil Securities.
Michael Millman - Soleil Securities: Following up on the pricing issue, Dollar Thrifty said on their call that prices in leisure was actually up. Could you tell us where your leisure pricing relative is today and also where commercial pricing is today? Related to that where simple wheels pricing has moved and you have this relationship with Advantage. To what extent might that relationship increase and possibly replace the simple wheels?
Mark Frissora: Certainly we can’t comment on any relationship with Advantage that we may or may not have. I guess we did take over some of their reservations in the fourth quarter. Joe Nothwang I guess you and I can pitch and catch this. In January leisure pricing was up. Certainly commercial continues to be challenged. We expect it to be challenged for probably half this year at least. That is kind of my take on pricing.
Michael Millman - Soleil Securities: Pricing is up going back year-over-year?
Mark Frissora: That is what I just said. In January leisure pricing is up year-over-year.
Michael Millman - Soleil Securities: Can you give us an idea of how much?
Mark Frissora: No. First of all we don’t talk about pricing on the call. There are anti-trust issues so my lawyers are already pointing at me. This is something we really don’t want to get into in terms of and we are also not trying to get into guidance as you know which we are starting to encroach upon. Sorry, I am not trying to be cute here. I am just at my limits about what I am going to be able to tell you about pricing at this point.
Michael Millman - Soleil Securities: Specifically on the car rental fleet how much is that down today compared with a year ago? Or 12/31 compared with a year ago?
Mark Frissora: We haven’t talked about that. You are talking about right now in the current quarter?
Michael Millman - Soleil Securities: Right today compared with 12 months ago or if that doesn’t work 12/31 compared with 12/31.
Mark Frissora: We said the fleet was down at 12/31 I think down 9%.
Michael Millman - Soleil Securities: I thought that was the average in the quarter?
Elyse Douglas: The ending fleet number in December from the third quarter was down 15.5%.
Michael Millman - Soleil Securities: How much in the third quarter?
Mark Frissora: 15.5% from the ending point in the third quarter to the ending point in the fourth quarter. Down 15.5%.
Michael Millman - Soleil Securities: What would that be year-over-year?
Mark Frissora: She said it is the average. We should have it in the attachments. I know you can calculate it from the attachments. We’ll see if we can get that back to you separately okay?
Elyse Douglas: I think the year-end average was down 1.3.
Michael Millman - Soleil Securities: On the financing side can you talk about the potential for I guess the borrowing at LKE and what that could do in terms of cash flow?
Elyse Douglas: Obviously if we turned off the LKE it would generate cash flow but it would hurt us from a tax perspective. So we don’t have any plans to turn that off. As long as we are acquiring fleet we use the LKE fund.
Michael Millman - Soleil Securities: So does that stand however as an emergency if needed?
Elyse Douglas: It is certainly a lever we could pull.
Michel Taride: Our fleet both in Europe and the U.S. was down about 7.5% in December year-over-year which is in line with the days in numbers so our fleet was in line with the decline in rental days.
Operator: The next question comes from Adrienne Colby – Deutsche Bank.
Adrienne Colby – Deutsche Bank : You indicated earlier that you closed net 8% of your equipment rental facilities in 2008. I was wondering if you could provide some color as to where some of these closures were.
Gerry Plescia : We closed most of the locations in markets where we had multiple locations. So if we had ten locations in San Francisco we closed a few of those to shrink the pool of locations. So as opposed to getting out of markets entirely we really shrunk the network in multiple city locations mostly the U.S. and a few in Canada and some in Europe. It was spread fairly well across the globe.
Adrienne Colby – Deutsche Bank : Earlier you mentioned that as of now you are only committed to about 50% of the fleet needed for 2009. I think you were referring to the car rental business. Can you comment on the equipment rental side of the business?
Gerry Plescia: On the equipment rental side we really have no fixed commitments at this time. Just minimal dollars of fleet we are buying for specialty needs but we don’t have any fixed commitments for 2009 at this point.
Operator: The next question comes from David [Lim] – Wachovia Capital Markets.
David [Lim] – Wachovia Capital Markets : On the cost cutting side how much more can you cut without affecting the customer service portion of your business?
Mark Frissora: Obviously through Lean Sigma you eliminate waste and you use the voice of the customer as kind of the overview. In terms of eliminating waste it is a never-ending journey. It’s not like you can ever be lean enough. Your question is how much is enough? It is never over. It is never done. It has been my philosophy through my whole career that you can’t get lean enough. We constantly are looking at ways to reinvent ourselves. We kind of lifted out if you will during the call some of those areas we are working on. A big opportunity, we talked to investors about the opportunity for 2010 was significant and we are chunking ahead of that. We are now ahead of the curve on where we said we would be. We feel pretty good that there continues to be opportunity especially in our fleet operations. If you were to look at those processes and how they connect and how much time is in there, wasted time, due to our own really internal inefficiencies it is significant. One point utilization improvement in the U.S. is worth about $30 million in pre-tax income. Certainly we think there are probably 10 points opportunity just in that alone.
David [Lim] – Wachovia Capital Markets : That is pretty impressive. I guess it is like the continuous improvement philosophy. Having said that do you have a special team? I know it is getting a little techy here but a special team that specifically looks at this stuff or is it more from a department to department basis?
Mark Frissora: We have a full time senior leader that reports to me, Louis Boyd, a Senior Vice President of Process Improvement for the company. I have a separate Senior Vice President of Supply Chain Management who also reports in to me. Both of them as well as the operating guys are all working on process improvements that actually have a full time function that does nothing but track cost reductions. We have a program management office. We have an organization on Lean Sigma. We have our own black belts and green belts and master black belts and training programs and websites. It is a complete major functional area for us; cost reduction and/or efficiency improvement. That is what gives us a lot of our traction. The intense focus on making sure we track our costs by project and that we get traction against it.
David [Lim] – Wachovia Capital Markets : Finally on the fleet side I know a lot of the OEM’s are saying that they want to fill less of the fleets whether it be rental or commercial, etc. mainly on the rental side. Having said that have you seen any of these OEM’s try to or see more of an intensity in their sales pitch to you as of late?
Mark Frissora: The OEM’s obviously would like to sell I think more fleet to someone like a Hertz. I know we could take a lot more fleet than we are taking right now. We have never had a fleet capacity issue and we still don’t have one. We have great relationships with all the OEM’s and not just one or two. We feel very comfortable those relationships are going to be positive over the next couple of years and as we look to work together with them. Going back to your cost reduction question I just want to be clear we won’t compromise customer service and NPS our net promoter score system for cost reduction? That is the one thing we make sure we don’t do. We don’t cut costs to hurt that score. That score of customer satisfaction we get on a daily basis by airport and by location.
Operator: The next question comes from Adam Silver – Babson Capital Management.
Adam Silver – Babson Capital Management: What was your balance on your ABL revolver at the end of the quarter?
Elyse Douglas: The ABL was zero at the end of December.
Mark Frissora: The ABL revolver was zero. So once again thank you all for joining us on our fourth quarter and year end conference call. We look forward to talking to you about our improvements as we move forward through the year.
Operator: Ladies and gentlemen that does conclude our conference call for today. Thank you for your participation. You may now disconnect.